Operator: Hello, and welcome to the Hamilton Insurance Group Earnings Conference Call. As a reminder, this call is being webcast and will also be available for replay with links on the Hamilton Investor Relations website. I'd now like to turn the call over to Jon Levenson, Group Treasurer and Head of Investor Relations. Please go ahead.
Jon Levenson: Thank you, operator. And welcome all to the Hamilton Insurance Group fourth quarter and year-end 2024 earnings conference call. The Hamilton executives leading today's call are Pina Albo, Group Chief Executive Officer, and Craig Howie, Group Chief Financial Officer. We are also joined by other members of the Hamilton management team. Before we begin, note that Hamilton financial disclosures, including our earnings release, include important information regarding forward-looking statements. Management comments regarding potential future developments are subject to the risks and uncertainties as detailed. Management may also refer to certain non-GAAP financial measures. These items are reconciled in our earnings release and financial supplement. With that, I turn the call over to Pina Albo, Hamilton's CEO.
Pina Albo: Thank you, Jon, and hello, everyone. Let me start by welcoming you to Hamilton's full year and fourth quarter 2024 earnings call. In terms of previewing our call today, I will focus my comments on the full year with Craig providing more details on our financial results in a moment. Before covering our results, though, it's important to note that the risks we cover remain prevalent around the world. And we are unfortunately reminded of this all too often. The devastating and deadly wildfires which recently took place in Los Angeles represent just one of the many risks affecting individuals, families, and communities. Our thoughts are with all those who have been affected and our heartfelt thanks to the first responders. We are doing our part by working swiftly to compensate our clients for their financial losses. And we take pride in delivering on our promises and helping those affected. We are still assessing our loss estimates. But our early views indicate a range of $120 million to $150 million net of reinsurance and reinstatement premiums. This is based on an industry insured loss range of $35 billion to $45 billion. Our loss estimate for this event is within our modeled expense. Expectations for market share in this case, about 0.3%. The estimated losses for this event will be reported in the company's first quarter 2025 financial results. Turning to 2024, there was no shortage of similarly destructive natural catastrophes, with approximately $140 billion in insured industry catastrophe losses. Despite this backdrop, and the collapse of the Francis Scott Key Bridge in Baltimore earlier in the year, Hamilton completed an outstanding first full year as a public company. Our financial results were excellent for both of our reporting segments, International and Bermuda, and both segments continued to grow thoughtfully and profitably. As a group, we had gross premiums written of over $2.4 billion, an increase of 24% over 2023. Our combined ratio was an impressive 91.3%, resulting in nearly $150 million of underwriting income again, in a year with significant insured loss activity. One of the reasons for this underwriting result is the diversification of our business. For the full year 2024, Hamilton's business was split 45% casualty, 30% specialty, and 25% property. Investment results were also exceptional, with total investment return of $360 million. The combined result was a net income to common shareholders of $400 million, representing an 18.3% return on average equity and a 23.5% growth in book value per share for the year. We are very proud of these results, as they are a testament to the disciplined execution of our strategy and our strong underwriting culture. During 2024, we focused specifically on executing the objectives we set out during our IPO process. Namely, strategic growth, achieved by raising and then deploying capital into a robust insurance and reinsurance marketplace. Second, maintaining a sharp eye on underwriting profitability, third, achieving ratings upgrades, and fourth, being good stewards of capital. Let me touch on each of these in turn. Both of our underwriting segments, International, which houses our insurance-focused platforms, Hamilton Global Specialty and Hamilton Select, and Bermuda, which houses our reinsurance-focused platform, Hamilton Re, had strong results. Reflecting a growing and well-diversified book of business. For the full year 2024, our larger segment, International, wrote $1.3 billion of gross premiums and reported a 95.6% combined ratio. An excellent result, which is also reflective of the diversified lower volatility portfolio that we have built there over time. As mentioned, within International, where we write the majority of our specialty insurance business, we have two underwriting platforms, Hamilton Global Specialty, which includes Lloyd Syndicate 4000, and Hamilton Select, our specialized underwriting platform for hard-to-place U.S. E&S business. Hamilton Global Specialty wrote $1.2 billion of gross premiums during 2024, continuing a path of thoughtful double-digit growth. Hamilton Select, which is still in its early stages of development, wrote $117 million in premiums during the year. A number which is slightly ahead of where we thought it would be and reflective of the momentum they have achieved in the strong U.S. E&S market where they source their business. Our Bermuda segment, which is comprised of Hamilton Re, and Hamilton Re US, wrote $1.1 billion in gross premiums and reported a combined ratio of 87% for the full year 2024. The second consecutive year with a combined ratio in the eighties. Hamilton Re's business is predominantly reinsurance, and well balanced between casualty, property, and specialty classes. Our very strong relationships with key global and national clients have allowed us to put together a very well-diversified book of business. Bermuda remains one of the key global centers for reinsurance and insurance, and we have a strong team in place for both offerings. Specific to Bermuda insurance, we wrote approximately $130 million in gross premiums during 2024, split roughly fifty-fifty property and casualty. In addition to posting excellent financial results in 2024, we were also gratified by the recognition provided to Hamilton by the three global rating agencies A.M. Best, Fitch, and KBRA. In April of this year, Hamilton Re received an upgrade to A from A.M. Best, that in July received an initial published rating of A- from Fitch. In July, Hamilton Re also had its A rating affirmed by KDRA. Ratings are very important to our customers and broker partners. And as we have discussed in prior calls, these higher ratings which are now on par with many of our larger global peers, have and will continue to afford Hamilton opportunities for additional profitable business. Our fourth significant objective for 2024 was to be responsible stewards of shareholder capital. To that end, we repurchased a number of shares below book value, an action which resulted in a notable increase in shareholder value. During 2024, we repurchased 10.6 million shares at a total cost of $138 million. This includes both open market repurchases and a large single repurchase from a founding investor. We, of course, hope that our shares will not always be undervalued, but when they are, we have the capital. And are well positioned to act decisively. Turning now to the important January one reinsurance renewals. An annual renewal date for a sizable percentage of the global reinsurance treaty market. By this time, you will have heard quite a bit about the movement in rates across various classes and territories, so I will only provide brief comments on this in a few moments. What I would like to say now is that Hamilton fared very well at our January first renewals. The work we have done in establishing and nurturing relationships with key clients resulted in strong signings and enabled us to continue building a diverse portfolio we believe will deliver attractive returns. For property cat, we saw the dynamic described by many of our peers with an oversupply of capacity at one one and rates experiencing some downward pressure. That said, the step change in terms of terms and conditions and specifically the elevated attachment points remained intact. A very important right. For casualty re, while commissions generally remained flat, underlying rates continue to improve and will flow through to us since the majority of our business is quota share. Regarding specialty reinsurance, this segment has a number of diverse lines of business, and the results were therefore a mixed bag. With some classes more competitive than others. One area where we did well involves our recently launched credit bond and political risk reinsurance offering. Which met with keen interest from many of our clients. And was entered into at an opportune time in the market. While we will provide more detail in our first quarter call, for now, suffice it to say, that the take-up on our new offering exceeded our expectations. Looking ahead to the mid-year property cat renewals, we anticipate a higher level of demand. Also, given that many programs impacted by the wildfires and 2024 hurricanes renew midyear, we expect an increase in rates for loss-affected accounts. Otherwise, we expect stable renewals. Given the strength of our balance sheet and our strong talent base, as well as the client relations if we have built we are well positioned for the year ahead. Moving away from Bermuda? And back to our international segment, although January one is not the same milestone date given that insurance business renews throughout the year, the first quarter is still important in setting the tone. In the early days of 2025, we continue to see attractive opportunities across many classes within our international portfolio. In particular, in some of the specialty insurance lines of business, which have long had a natural home in Lloyd's. We will, for example, continue to expand our marine offering which includes Hull, liability, and cargo lines. The Lloyd's market has a robust ecosystem for marine classes built over many years, and Syndicate 4000 is a participant with a skilled team in place. We also see opportunities to grow our property insurance lines and have recently added underwriting talent in this area. Syndicate 4000's long-term performance versus the market has been strong with profitable and stable returns. We are home to a well-regarded team of specialist underwriters who are in many cases, considered leaders in their field. The team is laser-focused on bottom-line profitability and has developed a resilient and diversified book focused on specialty and casualty insurance lines. The delivery of low volatility and cross-cycle profitability has been achieved by enforcing underwriting discipline across over twenty lines of business spanning casualty, specialty, including marine and property classes. As for our Hamilton Select platform, which again is focused on hard-to-place small to midsize commercial casualty risks, in the U.S. E&S market, we continue to see strong and increasing submission flow and attractive opportunities, particularly in general and excess casualty. Despite increased competition in the E&S space, pricing levels remain attractive for the risks we are writing and we see sufficient growth opportunities for our business. I will conclude with a few comments on our loss reserves. We are proud of the continued strength of our reserves which stems from our disciplined reserving philosophy. In this context, we are happy to report that 2024 marks the eleventh consecutive year of favorable reserve development for Hamilton. As you know, we have our reserves reviewed by an external actuary twice a year and it was gratifying to see that following their recently completed fourth quarter review of our reserves, our surplus above their best estimate has increased. We continue to monitor and adjust for inflationary trends notably U.S. social inflation in a number of our casualty lines, and have well-established processes to ensure that our reserving, planning, and pricing incorporates what we believe to be appropriate loss trend assumptions. In conclusion, I feel proud of what Hamilton has achieved, and I am excited about our business prospects and the potential to continue producing strong financial returns. The hard work the team has put in over the years and its culture of underwriting and operational discipline has positioned us well. We have a well-diversified global book of business focused on some of the best-priced classes of business efficient operating platforms in the locations that matter to our customers a very strong balance sheet, and a world-class team who are collaborative, and motivated to achieve our shared goals. With that, I'll now turn the call over to Craig.
Craig Howie: Thank you, Pina, and hello, everyone. Hamilton had a record year with 2024 net income of $400 million, up 55% over the prior year. And a return on average equity of 18.3% compared to 13.9% in the prior year. As a result of active share repurchases, we also grew book value per share by 24% over the prior year. The company had another very strong year of premium growth, in an attractive market environment. Record underwriting income, and strong investment returns, to close out an excellent full year financial result in 2024. For the fourth quarter of 2024, Hamilton reported net income of $34 million, equal to $0.32 per diluted share producing an annualized return on average equity of 5.8%. This compares to net income of $127 million or $1.15 per diluted share and an annualized return on average equity of 26.4% in the fourth quarter of 2023. As a reminder, the fourth quarter of 2023 equity or $35 million and significantly lower catastrophe with those numbers as highlights, let me provide some additional detail around our underwriting and investment income components the quarter? And for the full year. Starting with underwriting results. Hamilton continues to grow its top line at an impressive double-digit rate. In fact, our compound annual growth rate from 2020 to 2024 was 22%. For the full year 2024, gross premiums written increased to a record $2.4 billion compared to $2 billion this time last year. An increase of 24%. All three of our underwriting platforms, Hamilton Global Specialty, Hamilton Select, and Hamilton Re continue to take advantage of attractive market conditions all of which contributed to our profitable growth. Starting with some quarterly underwriting figures, underwriting income for the group was $22 million for the fourth quarter. Compared to underwriting income of $36 million in the fourth quarter last year. The group combined ratio was 95.4% compared to 90.2% in the fourth quarter of 2023. In terms of combined ratio components, the loss ratio increased due to catastrophe losses in the quarter, partially offset by a decrease in the overall expense ratio. In the fourth quarter, the loss ratio increased 6.8 points to 60.1% compared to 53.3% in the prior period. The increase was primarily driven by $49 million or 10.2 points of net current and prior year catastrophe losses made up of Hurricane Milton, for $38 million and Hurricane Helene for $19 million partially offset by favorable prior year development of $8 million. This compares to $7 million or 1.8 points of catastrophe losses reported in the fourth quarter last year. We had favorable prior year attritional development of 1.3 points driven mostly by property lines. This compares to 1.7 points of favorable. So as Pina highlighted earlier, we continue our track record of favorable loss reserve development each year since the inception of the company. Next, I'd like to go through some of our 2024 year-end underwriting metrics. For the full year 2024, underwriting income for the group was a record $149 million compared to underwriting income of $130 million in 2023. The group combined ratio was 91.3% compared to 90.1% in 2023. The nominal increase in the combined ratio was due to increased catastrophe loss losses and nutritional losses, partially offset by a decrease in the expense ratio. The loss ratio increased four points to 58.2% compared to 54.2% in 2023. The increase was primarily driven by $88 million or 5.1 points of net current and prior year catastrophe losses made up of Hurricane Helene, for $53 million, Hurricane Milton for $38 million, the Calgary hailstorms for $13 million, and Hurricane Debbie for $6 million. Partially offset by favorable prior year development of $21 million. This compares to $37 million or 2.8 points of net current and prior year catastrophe losses in 2023. The attritional loss ratio was 53.1%, an increase of 0.9 points compared to the full year of 2023. The primary reason for the increase was due to 2.2 points related to the Baltimore Bridge loss in the first quarter of the year. The expense ratio decreased 2.8 points to 33.1% compared to 35.9% in the full year of 2023. The decrease in the full year 2024 expense ratio mainly driven by improved operating leverage, due to growth in our earned premium base. As always, I'd encourage you to use the full year 2024 attritional loss and expense ratios as an indication for where we expect the current book to perform. As for corporate expenses, there was an increase in the variable expenses. However, this is associated with our long-term incentive compensation plan which is based on performance over a three-year period and compensation costs related to the value appreciation pool. For the full year 2024, corporate expenses were $61 million. Going forward, this number should come down to about $50 to $55 million per year. Next, let's look at the results by segment. Let's start with the International segment. Which includes our specialty insurance businesses, Hamilton Global Specialty, and Hamilton Select. For the full year 2024, International gross premiums written grew to $1.3 billion from $1.1 billion, an increase of 18%. This was primarily driven by growth in both new and existing business, and improved pricing in casualty and property insurance classes, and specialty reinsurance and insurance classes. In 2024, International had record underwriting income of $39 million and a combined ratio of 95.6%. Compared to underwriting income of $37 million and the combined ratio of 94.7% in 2023. A very stable result year over year which is what we expect from the diversified insurance portfolio that we've constructed. The attritional loss ratio increased 0.3 points to 53.5% compared to 53.2% in 2023. In other words, very consistent year over year. The International acquisition expense ratio decreased two points to 24.5% compared to 26.5% for the full year 2023. The decrease was primarily driven by reduced profit commissions and higher ceding commission income. The other underwriting expense ratio decreased 1.8 points to 14.9% compared to 16.7% in the full year 2023 as a result of growth in the premium base. Moving to some quarterly figures. For the fourth quarter, International had underwriting income of $9 million and a combined ratio of 96.3%. Compared to underwriting income of $2 million and a combined ratio of 99.1% in the fourth quarter last year. The International current year attritional loss ratio decreased 3.7 points to 50.8% in the fourth quarter, compared to 54.5% in the fourth quarter last year. The decrease was primarily driven by favorable experience on the property classes as the fourth quarter is when we do our property reserve reviews. I'll now turn to the Bermuda segment. Which houses Hamilton Re, and Hamilton Re US. The entities that predominantly write are reinsurance business. For the full year 2024, Bermuda gross premiums written grew to $1.1 billion from $846 million last year, an increase of 32%. The increase was primarily driven by new business, expanded participations on existing business, and rate increases in casualty, property, and specialty reinsurance classes. Approximately $80 million of growth during 2024 was directly tied to our A.M. Best rating upgrade. We expect a similar power amount of growth resulting from the upgrade during 2025. For total growth of about $160 million gross premiums written. In 2024, Bermuda had record underwriting income of $110 million and a combined ratio of 87.0%. Compared to underwriting income of $93 million and an 84.9% combined ratio in 2023. The increase in the full year combined ratio was primarily related to catastrophe losses in the year. Bermuda had $61 million or 7.2 points of net catastrophe losses in 2024 compared to $24 million and 3.9 points in 2023. The Bermuda current year attritional loss ratio increased 1.6 points to 52.7% in 2024. This was primarily driven by 3.1 points from the Baltimore Bridge loss. The Bermuda acquisition expense ratio increased slightly by 0.4 points to 20.3%. Compared to 19.9% in 2023. Primarily due to business mix. The other underwriting expense ratio decreased 1.4 points to 6.3% compared to 7.7% in the full year of 2023. As a result of growth in our premium base. Moving to a few of the quarterly figures. For the fourth quarter, Bermuda had an underwriting income of $13 million and a combined ratio of 94.3% compared to underwriting income of $34 million and a 79.6% combined ratio in the fourth quarter last year. The increase in the combined ratio was primarily related to catastrophe losses in the quarter. Bermuda had $32 million of net catastrophe losses in the quarter. Losses in the fourth quarter of 2024 compared to $6 million of net catastrophe losses in the fourth quarter of 2023. The current year attritional loss ratio was 51.7% which was generally flat compared to last year. Now turning to investment income for the quarter. Total net investment income for the fourth quarter was $36 million compared to investment income of $114 million in the fourth quarter of 2023. A fixed income portfolio, short-term investments, and cash produced a loss of $31 million in the quarter compared to a gain of $77 million in the fourth quarter of 2023. As a reminder, this includes the realized and unrealized gains and losses that Hamilton reports through net income as part of our trading investment portfolio. During the fourth quarter, the rising treasury yields produced a mark-to-market loss in our fixed income bond portfolio. The new money yield was 4.7% on investments purchased this quarter. The duration of the portfolio was 3.4 years at December 31, 2024, compared to 3.3 years at the end of 2023. The Two Sigma Hamilton Fund produced a $67 million gain or 3.7% for the fourth quarter of 2024 compared to a $37 million gain or 2.2% in the fourth quarter of 2023. Turning to some full-year 2024 investment figures. Total investment income in 2024 was $362 million compared to $219 million in 2023. The fixed income portfolio short-term investments, and cash produced income of $87 million compared to $96 million in 2023. Average yield to maturity on this portfolio was 4.7% compared to 4.5% at year-end 2023. The average credit quality of the portfolio remains strong at double A three. For the full year 2024, the Two Sigma Hamilton Fund had a return of 16.3% or $274 million compared to 7.6% or $122 million for 2023. We still plan for a 10% annual return from the fund. But we've actually seen total annualized average returns of about 13% since the inception of the fund in 2014. The latest estimate we have for the Two Sigma Hamilton Fund year-to-date performance was 3.6% for January 31, 2025. The Two Sigma Hamilton Fund made up about 39% of our total investments, including cash investments at December 31, 2024, compared to 43% at December 31, 2023. Turning to share buybacks. In the second quarter, we announced a $150 million share repurchase authorization by the Hamilton Board of Directors. During the fourth quarter, we used $18 million of that authorization to repurchase. We're able to continue repurchasing shares and growing the business all while maintaining our strong capital position. During 2024, we repurchased $28 million of common shares on the open market at an average price of $18.89 per share. Based on our book value per common share of $22.95 at the and the shares were repurchased at about an 18% discount to book value. We still have $122 million remaining for purchase under the share repurchase authorization. Additionally, in May 2024, we repurchased a large block of shares from a founding investor at a 40% discount to book value. Including this block repurchase, we bought back a total of $138 million of common shares during 2024. Next, I have some comments on the strength of our balance sheet. Total assets were $7.8 billion at year-end 2024, up 17% from $6.7 billion at year-end 2023. Total investments in cash were $4.8 billion at year-end 2024, an increase of 20%. From the $4 billion at year-end 2023. Shareholders' equity for the group was $2.3 billion at the end of the fourth quarter? Which was a 14% increase from year-end 2023. Our book value per share was $22.95 at December 31, 2024, up an impressive 23.5% from $18.58 at year-end 2023. Thank you. And with that, we'll open up the call for your questions.
Pina Albo: Please limit yourself to one question plus one follow-up and then rejoin the queue for any further questions. Our first question comes from Elyse Greenspan from Wells Fargo. Please go ahead. Your line is open.
Elyse Greenspan: Hi. Thanks. The insurance underlying loss ratio, right, in the quarter was below 51%. Craig, I know you typically like to say, like, look at the full year, but that does seem like a pretty good number. Was there anything one-off in there? Any kind of catch-up or, you know, favorability, you know, in the first three quarters of the year and just do we think about just kind of go forward, you know, margin profile of, you know, the international segment?
Craig Howie: Hi, Elyse. Thanks for the question. I would say this. Two things. One is first of all, related, there were really no an absence of large losses. So there were really no large losses in the quarter. That's number one. Number two is we typically do our property reserve reviews in the fourth quarter. So what you can do is if there were no property events, in other words, that would be below our catastrophe threshold, an item that we would normally include in our attritional loss estimate. That non-cat portion can be taken down in the fourth quarter. But as you said, I would encourage you to look at the full year number you know, loss ratio, attritional loss ratio in the 53.5% range. Is a much better indication of how we would expect that book that current book to perform.
Elyse Greenspan: Thanks. And then my follow-up on the casualty reserves. I know you guys called out some adverse movement in prior years in the current quarter. What lines and accident years was that in? And can you just give us, you know, a sense of the magnitude of the casualty movement in the fourth quarter?
Craig Howie: Yeah. So, Elyse, I can you know, you're always gonna have slight movements in reserves and I can tell you, we did say modest. This is very modest. Some of these numbers are very small. It was in our Bermuda segment, it was about $1 million is what we're talking about here. It's a very small number. We had $2 million of favorable development on basically property as well. So overall, we had $1 million of favorable development in Bermuda for the quarter. From a group overall perspective, we were we produced favorable reserve development in the quarter as well. And we also, for full year 2024, had favorable loss reserve development for the group. And as Pina said, each and every year since the inception of the company. We get our reserves reviewed, you know, twice a year by our outside actuaries, and I have to say we're very comfortable in our overall reserve position.
Elyse Greenspan: Got it. Thanks for the color. Our next question comes from Alex Scott from Barclays. Please go ahead. Your line is open.
Alex Scott: Hi. First one I have is just you know, your interest and willingness to lean into some of this casualty business that's out there, particularly in reinsurance. I mean, seems like some of your peers haven't had as much balance sheet stability and Yeah. There may be opportunities that arise there. Do you feel like price adequacy is where it needs to be? Is still a lot more work that needs to be done in terms of pricing at the primary level?
Pina Albo: Thanks. I'll take that question. You maybe just a little bit of historical context here. We have been generally underweight on the casualty reinsurance side at Hamilton. We only started leaning in a little bit more starting in 2021 when the market started churning you know, more favorable. And then always, we with very small line size, you were right to note that recently, some competitors have backed out of the space. I can't say, you know, perhaps they felt they were had larger exposures, but that actually was a very opportunistic time for us because that gave us the opportunity to look at a lot more business particularly with the benefit of our A.M. Best upgrade. So we are seeing everything we want to see now and have the ability to write the business that we want to write, we are very select support. We look for clients that keep a business net on their books. That underwrite the class properly. So we actually see this as a very opportunistic time for Hamilton and we're excited about it.
Alex Scott: That's very helpful. That one I had for you is more on the property side. I'd just be interested in know, if you have an update on what you're seeing in the competitive environment on property. You know, there's a lot of talk around some of the Lloyds' one and syndicates. Beginning to get a little more aggressive. You know, if you're hearing conversation last quarter. What do you see in there? You know, how are you feeling about price adequacy and know, with the ratings upgrade, is this still a pretty attractive place to grow on the property side?
Pina Albo: So looking at property insurance, I mean, particularly, like, in the property DNF side, that has come off of multiple quarters of rate increases. You know, quarter after quarter of rate increases. There, we have an offering on both in our Lloyd's syndicate, but also in our Bermuda platform. And even though that's come off a little bit more recently, it's come off of all-time highs. So we still see the rates as attractive. And, again, we underwrite this business you know, each and every submission on our own merits. In terms of property reinsurance, business, there, you know, we saw some competition at one one some, you know, some slight decrease in property cap as we did one one, but rates were still, you know, attractive. And let's not forget the terms, conditions, and attachment points of this business remained very attractive. As we look to our midyear renewals, a lot of the accounts that were impacted both by the wildfires and also by the 2024 hurricanes, they're up for renewal, you know, in the midyear. So there, we expect those loss-impacted accounts to have increases and we have the capital, the team, and the discipline to write it.
Alex Scott: Thank you.
Pina Albo: Our next question comes from Michael Zaremski from BMO Capital Markets.
Michael Zaremski: Hey. Morning. Thanks. First question on reserves, maybe specifically Hamilton's Russian war, aviation-related reserves, and I do appreciate this maybe a tricky topic to fully unpack. But I'm would you be able to kinda add any color if there's been any meaningful movements? Yeah. We've got a number of questions from folks given one peer. Made a major change given there's ongoing litigation. Thanks.
Pina Albo: I'm happy to kick off. Craig will certainly fill in all my blanks. So we're talking about the Ukraine loss. I think it's important to remind you that when we posted a reserve for that loss was a very fulsome reserve. We reserved for marine classes, for war classes, for aviation classes. And we posted a number of $80 million net to us that figure today is still 80% IBNR. The majority of our exposure is reinsurance. We do not write aviation insurance. And we still feel very comfortable. About the strength of that reserve. Do you have anything to add to that?
Craig Howie: The only thing I would say is we continually reassess that reserve, and the only thing I would say is that we are following all the developments with. But at the end of the day, we do feel comfortable with our current reserve.
Michael Zaremski: Okay. That's just a very helpful answer. Maybe switching gears to Hamilton Select. I know it's, you know, small, fast-growing. But I was just curious. On Hamilton Select, you be able to kinda touch on pricing power there? You know, our understanding is that you know, margins are excellent in that kind of sandbox and pricing even in casualty. It's been kind of desalibrating a bit, unlike the non-E&S casualty marketplace, but just curious if there any apps? Competitive commentary there.
Pina Albo: Let me start with the backdrop drop in general of the U.S. E&S market space. It is still an incredibly attractive market in general. We are seeing increased submissions to our platform positive momentum. Our underwriting appetite is, you know, very well defined. We are in the small to midsize hard-to-place space. Where it's a space where, you know, we put out specific limits. We can attach specific exclusions, and so it's something we underwrite very carefully. In the business that we're seeing, particularly in the excess casualty general casual and also in the small business space, we are still seeing a favorable market environment, and we are underwriting each one of those risks on their merit.
Michael Zaremski: Okay. Great. And just lastly, any comments or insights you've seen on the devastating California wildfires now, you know, months. Loss has passed. Are you seeing any actual new, new, new demand from primary insurers looking to buy additional reinsurance?
Pina Albo: So a lot of these programs, as I said, will come up for renewal midyear. I think that the wildfire is usually part of a larger program. So we have not yet seen, you know, any submissions asking for increased capacity for that. I think what you will see is, people will underwrite this exposure much more carefully. As both on the insurance side as well as the reinsurance side. And you might see some insurance players, reduce their writings in California. So it's still early days here. But that would be how I see that.
Michael Zaremski: Thank you, Victor.
Pina Albo: Our next question comes from Matt Carletti from Citizens JMP. Please go ahead. Your line is open.
Matt Carletti: Thanks. Good morning. First question on the California fires the $120 to $150 estimate you provided. How should we think about just a very rough split of how that might fall between the segments?
Craig Howie: Thanks, Matt. This is Craig. I would say, rough it's predominantly a reinsurance event for us.
Matt Carletti: Okay. Perfect. And then secondly, I guess, Craig, probably a question for you on the investment portfolio. Mean, obviously, two sigma was very strong, but even with that, the NDCI seemed like a much larger portion of that than in prior quarters. Can you just help us understand that? Is there some is it kind of a true-up for the annual number or just how we should what lens we should do that through.
Craig Howie: Yeah. Matt, you're absolutely right. The way that that works is it's related to the incentive fees. The non-controlling interest is related to the incentive fees on the Two Sigma foreign is trued up each quarter it really depends on the results and certainly strong results in the fourth quarter of the year. Just to remind you, this is all included in the net number that I provided, the 16.3% all of those fees are included in that number for the full year.
Matt Carletti: Alright. Perfect. Thank you.
Pina Albo: For any additional questions, our next question comes from Tommy McJoynt from KBW. Please go ahead. Your line is open.
Tommy McJoynt: Good morning. The gross written premium growth has been really strong. But also getting some benefit on the net to gross ratio continuing to increase. In both segments really. How much higher can that go? I guess, is that a function of, you know, taking quota share down or buying less XOL protection? Could you put any numbers around that?
Craig Howie: Yes. This is Craig. I wanted to I'll explain to you first. In other words, the reason it grew the gross to net position or net to gross position, depending on how you wanna look at it, the reason it grew was, if you remember, we took in some primary proceeds from the IPO a year ago. And we wanted to use those primary proceeds to do two things. One is to grow the book also to retain more of that business. So we do think, you know, going forward, I think for at least this year, you should expect it to be relatively flat. From where we are today, but it is something that we would look to do going forward as well to increase our operating leverage.
Tommy McJoynt: Okay. Got it. And then another revenue line, the third-party fee income has continued to see some nice growth. Could you just remind me, is that AUM driven or is it profit contingent driven? So just as you think about the outlook for that revenue line into 2025, how do you think about that?
Craig Howie: Yeah. So that fee income is delivered. The reason you've seen good results is the performance fees that we get on some of the that we have from our iOS platform. In other words, we do get a management fee, so that's a base fee. That's all we plan for for the year. We do not plan, for example, the performance fees. But that really depends on the catastrophe activity throughout the year. Is what you would see that variability in that performance fee income.
Tommy McJoynt: Got it. Thank you.
Pina Albo: We have no further questions. That will conclude our question and answer session for today. I'd like to turn the call back over to the presenters for any closing remarks.
Craig Howie: Okay. Well, I just like to thank you all for joining us on this call today. Believe it or not, the next quarter is right around the corner. So we look forward to talking to you all again soon. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.